Operator: Good morning, ladies and gentlemen, and thank you for standing by. Today's call is being recorded. I will now turn the call over to Bill Brierly, Head of Compliance and Ethics, Liberty Latin America.
Bill Brierly: Good morning, and welcome to Liberty Latin America's Third Quarter 2023 Investor Call. At this time, all participants are in listen-only mode. Today's formal presentation materials can be found under the Investors section of Liberty Latin America's website at www.lla.com. Following today's formal presentation, instructions will be given for a question-and-answer session. As a reminder, this call is being recorded. Today's remarks may include forward-looking statements, including the company's expectations with respect to its outlook, and future growth prospects and other information and statements that are not historical fact. Actual results may differ materially from those expressed or implied by these statements. For more information, please refer to the risk factors discussed in Liberty Latin America's most recently filed annual report on Form 10-K and the quarterly report on Form 10-Q most, along with the associated press release. Liberty Latin America disclaims any obligation to update any forward-looking statements or information to reflect any change in its expectations or in the conditions on which any such statement or information is based. In addition, on this call, we will refer to certain non-GAAP financial measures, which are reconciled to the most comparable GAAP financial measures, which can be found in the appendices to this presentation, which is accessible under the Investors section of our website. I would now like to turn the call over to our CEO, Mr. Balan Nair.
Balan Nair: Thank you, Bill, and welcome everybody o Liberty Latin America's third quarter results presentation. I'll begin with our group highlights and an overview of our operating results by reporting segment. Chris Noyes, our CFO, will then follow with a review of the company's financial performance. After that, we will get straight to your questions. As always, I am joined by my executive team from across the region, and I will invite them to contribute as needed during the Q&A following our prepared remarks. As a point of housekeeping, we will both be working from slides, which you can find on our website at www.lla.com. Starting on Slide 4 and our highlights. We have added over 50,000 high-speed broadband and postpaid mobile subscribers year-to-date. This figure was a robust 225,000 adds, excluding Puerto Rico, where we have begun to recover following our complex migration project. I'll share further color on our progress later in the presentation. We also experienced some negative net adds in Cable & Wireless Caribbean during the quarter as a result of Hurricane Beryl. We reported adjusted OIBDA of $1.2 billion year-to-date. This includes rebased growth in C&W Caribbean, C&W Panama and Liberty Costa Rica. We expect adjusted OIBDA performance to accelerate in Q4, driven by B2B and anticipated improved results in our Puerto Rican operations. We successfully refinanced $1 billion of our Cable & Wireless credit silo senior notes last month. The issuance was significantly oversubscribed, reflecting the silos strength. Finally, we continue to explore inorganic ways to drive shareholder value and are excited to provide more details regarding an investment that we've been cultivating in Peru. This is a large and growing market where we have built significant fiber footprint and see potential to create value. We are also pleased to announce the addition of Sparkle to our new pan-regional subsea system. Turning to Slide 5. I'll begin our operating review with C&W Caribbean. On the left of the slide, we present our Internet and mobile postpaid additions. Q3 broadband adds were negatively affected by Hurricane Beryl, which impacted our operations in Jamaica, Grenada, St. Vincent and the Grenadines in early July. Adjusting for this event, we would have added 3,000 broadband RGUs in the quarter. We anticipate further impacts to net adds in Q4, but are working hard to minimize them. Postpaid mobile adds, although positive, were lower sequentially and year-over-year as Beryl impacted sales efforts. There was, however, an increase in prepaid adds as customers wanted to ensure access to mobile networks in the event of any outages, particularly in Jamaica. Moving to the center of the slide, we generated 2% rebased revenue growth year-to-date, driven by our continued consumer momentum, particularly in mobile. Finally, I want to recognize our colleagues in C&W for delivering adjusted OIBDA growth both sequentially and year-over-year in Q3 despite the challenges they faced in the quarter. Moving to Slide 6 and our C&W Panama segment. Starting on the left of the slide. We continue to drive penetration of our fixed footprint and delivered another solid quarter of Internet subscriber adds and robust revenue growth. Our fixed network provides high-speed connectivity across more than 95% of our homes passed with the majority of those homes passed via FTTH infrastructure. In mobile, we continue to grow our postpaid base, however, returned to a more normalized rate of adds following an exceptional second quarter driven by Digicel's exit from the market. We mentioned our successful 5G trials during our last earnings presentation. And last month, we became the first operator to launch 5G in Panama, highlighting our technology leadership in the market. Moving to the center of the slide, we have driven 3% top line growth year-to-date with positive contributions coming from all our product areas. Overall, we continue to build momentum in Panama and anticipate continued growth. Turning to Slide 7 and Liberty Costa Rica. Starting on the left of the slide. We delivered another quarter of solid broadband subscriber adds against a challenging competitive backdrop in Costa Rica. We continue to work towards completing our agreed combination with Millicom, which we anticipate will close by the end of 2025. In mobile, we reported another strong quarter. We moved above the milestone of 1 million subscribers with net postpaid adds higher both year-over-year and sequentially. Over the last 12 months, we've now added over 125,000 postpaid subs in the market, representing an almost 15% growth in our base. Moving to the center of the slide, we reported healthy rebased revenue growth of 5% year-to-date, led by mobile. Next, to Slide 8 and Liberty Networks. On the left of the slide, we present year-to-date revenue for the current and prior year periods. Enterprise continues to be our fastest area of growth in this segment and was 8% higher on a rebased basis. As in prior quarters, for Liberty Networks and the wholesale business specifically, we highlight the $17 million year-over-year impact of noncash IRU declines. Despite this headwind from lower IRU and noncash revenues, our underlying wholesale business continued to demonstrate resilience, growing modestly. Overall, we are building a business with a strong foundation of recurring revenue, which underpins our future prospects. The metrics shown beneath the bars reflect the unique cash conversion characteristics in Liberty Networks. This is an infrastructure business with growing cash OIBDA and over 40% OFCF conversion of revenue. Given these characteristics, Liberty Networks has a very attractive financial profile, and we have spoken previously about the opportunities to invest further in this segment. On the right side of the slide, we highlight an investment that will create a new pan-regional subsea cable system. We're excited to share that in addition to Gold Data, we will partner with Sparkle, a wholly owned subsidiary of Telecom Italia on this project. This will enhance the system's value given Sparkle's extensive presence in the region. Other highlights of the new system will be its size spanning over 5,500 kilometers, low latency with 6 new access points connecting major data hubs, new routes, the landing in Veracruz and Apalachee creates vital routes between Mexico and the United States, integrating and enhancing our powerful mesh infrastructure and ensuring we are future-proof ready. We are building a system that will serve the incredible growth in demand from hyperscalers and the rise in traffic requirements related to the ongoing shift to the cloud and AI innovations from the U.S.A. to Latin America and the Caribbean. Turning to Slide 9 and Liberty Puerto Rico, starting on the left of the slide. We reported a stable quarter of Internet subscriber adds adjusting for the impact of ACP-related churn. As previously indicated, we managed to keep most ACP subscribers through targeted retention offers. However, there has been some impact with 6,000 subscribers lost in Q3 and adds to the 4,000 who left during the first half. Adjusting for this impact, we would have had net broadband subscriber adds in the quarter. We continue to invest in strengthening our leading fixed business in Puerto Rico and aim to have approximately 200,000 fiber-to-the-homes passed by the end of the year, representing over 15% of our total footprint. In mobile, our postpaid base was lower during the third quarter, partly driven by a migration adjustment of approximately 20,000 lines. We have begun to see some encouraging signs now that the migration is complete. I'll talk to these green shoots on the following slide, but of note, we've now launched our new converged commercial proposition called LOOP. Owning leading fixed and mobile platforms is a core differentiating feature for Liberty Puerto Rico, and our strategy is centered on leveraging this as we have done successfully in other parts of LLA. In prepaid, we had more success with a second consecutive quarter of net adds in Q3. This momentum should be further bolstered by the addition of Echostar's Boost subscribers following the close of that transaction in early September. In the center of the slide, we show the revenue mix by product in Puerto Rico and a year-to-date decline of 12%. Chris will cover the financial performance in greater detail within his section. Moving to Slide 10. We wanted to share some of the early indicators that we feel represent signs of our mobile operations turning around. Starting with the left chart and our average sales per month. Here, we can see the drop-off in sales as we started to focus our efforts on migration in 2023 and into the first half of this year. This impact was the result of our sales force needing to spend more time managing migration-related queries, thereby having less time to sell while navigating some customer experience challenges. Encouragingly, Q3 2024 showed significant improvements across postpaid and prepaid with prepaid now back above 2022 levels. In October, we saw postpaid sales eclipsing 2022 levels as well, which is very encouraging. In the center of the slide, we show our NPS progression, which is a leading performance indicator that we track closely. We are now above pre-migration levels and significantly better than the low points at the turn of the year for both postpaid and prepaid. Importantly, we have seen a significant increase in promoters with our postpaid promoter percentage in October three times above the December low. Lastly, on the right of the slide, the customer sentiment. This metric has more than doubled from pre-migration levels, reflecting the work we have been doing to improve customer experience. The complexity of this integration stems from the carve-out nature of this transaction with AT&T, where we needed to build a whole new network and a whole new billing stack. This, coupled with migrating from a legacy platform within a large corporation brought many unanticipated problems. However, as with our other acquisitions, we are now through the technical phase and positioned to improve our commercial execution. Having said that, the larger-than-expected churn has delayed our recovery to pre-migration EBITDA. To get there, we will cut costs as required and with improving NPS and improved platforms, we will recapture market share. The commercial recovery will require investments in 2025, which we are planning for. Leveraging our FMC capabilities, combined with achieving targeted cost savings, sets us up for future adjusted OIBDA expansion. We remain confident of our longer-term plans and the opportunity to grow in Puerto Rico. On Slide 11, we highlight our track record of organic and inorganic growth across C&W Caribbean, C&W Panama and Liberty Costa Rica segments. Firstly, taking C&W Caribbean on the left of the slide as an example of strong operational execution. In the period shown from full year 2020 to the last 12 months, we have achieved an adjusted OIBDA CAGR of over 30%. This has been driven by the effective creation and implementation of converged product offerings, which has resulted in over 350,000 broadband and postpaid mobile net adds. We have also focused on driving cost efficiencies, achieving an 8 percentage point improvement in OFCF margin over the period. Moving to C&W Panama in the center of the slide and the significant financial benefits of the acquisition in 2022 of Claro's mobile business. This is an example of a successful integration. By the middle of this year, we had migrated customers to a common platform and adjusted significant cost synergies. The business we acquired from Claro had minimal adjusted OIBDA when we closed the acquisition. And so the growth shown here reflects synergies we achieved through integration. OFCF is expected to improve further in Q4 and rise above 2020 levels as a percentage of revenue. We also see this as an exciting organic story for coming periods given the constructive market structure and our underweight position in the fixed market. Finally, to Liberty Costa Rica on the right of the slide, we initially entered the Costa Rican market through our acquisition of a controlling stake in Cabletica in 2018. Through the acquisition of Telefónica's mobile operations in 2021, we created a leading converged operator. This is another example of a successful integration, which we completed during 2023. At the time of acquisition, the Telefónica's business was generating approximately $70 million to $80 million of adjusted OIBDA a year. And so we've driven significant additional value through synergies. We have continued to grow the mobile operations at a tremendous pace, surpassing 1 million postpaid subscribers and launching 5G earlier this year to further cement our position at the forefront of the market. Our track record shows that we have successfully integrated and grown operations. The nature of our Puerto Rico acquisition is much more complex compared to the transactions noted on this slide, which is the primary reason why it has taken longer than we had anticipated to achieve our targets. However, our experience and track record gives us confidence that we will begin to see improved results in Puerto Rico as we have in other markets. Finally, to Slide 12 and an exciting inorganic move we have made in Peru. We began investing in a greenfield fiber-to-the-home business alongside a local partner in 2021 and through an aggressive bill, now pass approximately 3 million homes in the market with fiber. Peru has significant growth potential, given its low Internet penetration at around 40%, and it provides exposure to a market much larger than those in our current footprint. WOW has been very successful driving penetration in its footprint, which is mostly outside Lima. In a short period, WOW achieved an approximate 15% broadband market share nationally and 25% in the provinces outside Lima. With 34 million people and 10 million homes in total, Peru presents a large market opportunity. It is more than six times the size of our largest consolidated market. In line with the region, also has a young demographic with a population median age of 34. Finally, we are creating a leading business and brand. This was exemplified as WOW was awarded LatAm Fiber Operator of the Year in the 2024 Fiber Connect LatAm Awards. We are excited about this investment. With that, I'll pass you over to Chris Noyes, our Chief Financial Officer, who will take you through our financial performance before we move on to your questions. Chris?
Chris Noyes: Thanks, Balan. I'll now take you through our financial results, starting with our group revenue and adjusted OIBDA performance on Slide 14. Sequentially, reported revenue was 3% lower at $1.1 billion and adjusted OIBDA grew by 4% to $403 million in the third quarter. The sequential decline in reported revenue from Q2 was driven by lower revenue in Cable & Wireless, partly due to the impact of Hurricane Beryl in the quarter and in Panama and Liberty Networks related to lower project revenue and less IRU accelerations, respectively. Adjusted OIBDA growth was driven by improvement in Puerto Rico and Panama. Turning to year-over-year. Revenue was 4% lower on a rebased basis and adjusted OIBDA declined by 6%. Revenue performance was primarily driven by an organic reduction in Liberty Puerto Rico, partly offset by organic growth in Liberty Costa Rica. With respect to adjusted OIBDA, organic growth in Panama and C&W Caribbean was more than offset by reductions in Liberty Puerto Rico. Moving to Slide 15 and our P&E additions and adjusted FCF results for the third quarter. On the left of the slide, we incurred P&E additions of $171 million in Q3 or 16% of revenue. This compares to $187 million or 17% of revenue in the prior year period. During Q3, we built or upgraded nearly 135,000 homes and launched 5G services in Panama. On the right, we reported adjusted FCF before partner distributions of $77 million. Distributions to our partners totaled $12 million in the quarter with $10 million in Panama and $2 million in Costa Rica. Adjusted FCF after these distributions was $66 million in Q3. This result compares to adjusted FCF of $33 million for Q3 2023. Looking to the fourth quarter, we should deliver our strongest cash flow performance of the year, driven by improved adjusted OIBDA as well as seasonally positive working capital. Slide 16 recaps our segment results. Starting with C&W Caribbean, we reported $360 million of revenue in Q3, flat year-over-year on a rebased basis. 7% growth in mobile was offset by declines of 3% and 2% in fixed and B2B, respectively, on a rebased basis. Mobile performance was driven by an organic increase of over 50,000 postpaid subscribers year-over-year as we increased penetration of our fixed mobile convergence propositions and higher prepaid ARPU following price increases. Hurricane Beryl drove the reduction in fixed revenue and B2B. We posted adjusted OIBDA of $158 million, representing 5% rebased growth, a very good result given the storm adversely impacted adjusted OIBDA in the quarter. Management's focus on reducing operating costs is contributing to its adjusted OIBDA expansion. Our adjusted OIBDA margin improved by over 200 basis points year-over-year to 44%. Next, moving to Cable & Wireless Panama. CWP generated $188 million of revenue, declining 1% year-over-year. Topline growth of 9% in mobile and 5% in fixed was more than offset by a decrease of 13% in B2B revenue. Growth in fixed was driven by broadband RGU additions and mobile fueled by increases in ARPU and handset sales. B2B revenue declined due to lower revenue from government-related projects, some of which we anticipate will be executed in the fourth quarter. We posted $69 million of adjusted OIBDA in Q3, representing 17% year-on-year growth, driven by phasing of project-related costs and synergies from the Claro Panama acquisition. Turning to Liberty Networks. We generated $110 million in revenue and $59 million in adjusted OIBDA, resulting in rebased declines of 2% and 8%, respectively. Topline performance was driven by a reduction of $4 million in noncash REU revenue, primarily due to lower amortization year-over-year, partly offset by higher enterprise revenue from continued growth in managed services and B2B connectivity. Rebase adjusted OIBDA was impacted by the noncash IRU-related revenue decline in the quarter and higher bad debt expense driven by one large customer. Second from the right, Liberty Puerto Rico. Q3 revenue was $308 million, reflecting a 13% rebased decline year-over-year. Residential fixed revenue was down 4% on a rebased basis. The decline was driven by lower ARPU following retention-related discounts and the impact of credits issued to customers following Hurricane Ernesto, which impacted Puerto Rico in August 2024. Mobile revenue declined by 22% on a rebased basis. This was driven by our lower mobile subscriber base following disruption related to the migration of customers and lower equipment sales related to reduced volumes for the iPhone 16 launch in September 2024 compared to the iPhone 15 in the previous year. B2B revenue declined 5% on a rebased basis, primarily reflecting the cancellation of the FCC's Emergency Connectivity Fund, which led to a reduction of 74,000 mobile postpaid subs over the past year in addition to migration-related churn. We reported $88 million of adjusted OIBDA during the quarter, representing a rebased decline of 24% as compared to Q3 2023. Negative performance year-on-year was mainly driven by lower revenue, partly offset by direct cost reductions related to lower handset sales. On a sequential basis, adjusted OIBDA improved by 24%, driven by lower indirect costs, including lower bad debt, reduced TSA costs and the benefits of our H1 reorganization. Concluding with Costa Rica on the far right, we delivered Q3 revenue of $146 million and adjusted OIBDA of $51 million, reflecting 5% rebased revenue growth and a 1% rebased decline in adjusted OIBDA. We delivered positive performance across all three business lines in the quarter. Adjusted OIBDA decreased slightly as a result of higher bad debt expense in light of increasing equipment sales and higher tower and labor expenses on a year-over-year basis. Slide 17 lays out our last three quarters in Puerto Rico in terms of both revenue and adjusted OIBDA. For revenue, Q3 reported revenue was stable relative to Q2, and I wanted to call out a few items. Residential fixed revenue was $123 million in Q3 or about 40% of the $308 million total. Relative to Q2, fixed declined $3 million due in part to a $1 million credit we gave customers for Hurricane Ernesto and the impact of lower ARPUs. Similar to fixed revenue, residential mobile revenue was $125 million in Q3 or 40% of the total. The $3 million increase in Q3 was driven by the inclusion of the acquired Boost subscribers in September. Excluding that, mobile revenue was broadly flat with higher roaming revenue offsetting slightly lower postpaid and equipment revenue. The remaining $60 million to 20% of revenue consists of B2B and other and was flat to Q2 levels. Our FCC revenue declined sequentially by $1 million. Turning to adjusted OIBDA. The sequential improvement was $17 million from Q2, consistent with our quarterly decline in operating expenses. Impacting the $88 million, we still have elevated bad debt as we work through the last components of the migration and billing and collection processes, especially with B2B customers. Compared to Q2, bad debt was $6 million improved, but still about $5 million higher than what would we consider a more normalized baseline. Additionally, we had $3 million of TSA and integration-related expenses in the quarter, which dropped significantly from the prior quarter. Turning to Slide 18. At the end of Q3 on a consolidated basis, we had $8.2 billion of total debt, $600 million of cash and $700 million of availability under our revolving credit lines. We had gross leverage of 5.2 times and net leverage of 4.8 times, a modest improvement from Q2, driven by Q3 adjusted OIBDA. Following the quarter end in October, we refinanced more than 50% of our outstanding Cable & Wireless 2027 bonds with a new senior secured notes issuance, which was well received by the market, as Balan highlighted earlier. We raised $1 billion at a 7.125% coupon maturing in October 2032. The net proceeds were used to redeem in full $495 million of our 2027 senior secured notes and in part $485 million of our $1.2 billion 2027 senior notes. As a result, we extended our weighted average life at LLA to over 4 years and only a roughly 10 basis point increase to our weighted average cost of debt as of September 2024. We actively monitor credit market conditions and would expect to refinance the remaining 2027 Cable & Wireless bonds within the next 12 months, further improving our capital structure. Moving to the final slide and our closing remarks. Operational momentum is building in many of our operations. Year-over-year subscriber growth, coupled with seasonal strength in both B2B and mobile should underpin our Q4 financial performance. In Puerto Rico, clearly, the pace of recovery has been much slower and tougher than we had previously anticipated. Our consumer value propositions that became available this fall are attractively positioned. We are focused on regaining commercial momentum in the coming quarters, and we expect to see improved adjusted OIBDA performance in Q4. Finally, in terms of capital deployment, we had a very active quarter with two items accounting for about $240 million of cash use. We repaid our remaining outstanding convertible bond of $140 million and funded the roughly $100 million initial installment of the Echostar transaction in Puerto Rico and the USVI. And as Balan mentioned, we are excited about our Peruvian opportunity and have been investing to support the build-out of this fiber-rich business. Overall, for LLA, we are driving to have our strongest quarter of the year in the fourth quarter and look forward to sharing with everyone our results next February. With that, operator, please open it up for questions.
Operator: Thank you. [Operator Instructions] The first question goes to Vitor Tomita of Goldman Sachs. Vitor, please go ahead Vitor, your line is open.
Vitor Tomita: Hello. Can you hear me?
Balan Nair: Yes, we can.
Vitor Tomita: Okay. Perfect. So my question is related to capital allocation. I would ask if you would be open to injecting capital from the group to support the Puerto Rico operation in the event that it needs such support in the future given the slower-than-expected recovery in there. Also already asking a follow-up related to capital allocation, though not really related to Puerto Rico. The Peruvian business has reached a relevant market share in a fairly short time, became a fairly relevant operator in there. Could you give more color on your strategy for that business and on how much capital has been allocated to Peru over the last 3 years to build that investment? Thank you.
Balan Nair: Sure. On the Puerto Rico, and I'll ask Chris to jump in here in a bit as well. Our intent in Puerto Rico is to operate our way there on the cash side. We are implementing cost cuts. We are working really hard on the revenue line and very targeted commercial acquisitions. We don't anticipate at this point of having to support Puerto Rico from any other stack. Before I jump into my Peru answer, maybe, Chris, do you want to add to that?
Chris Noyes: No. I mean I think that's accurate. We keep a close watch on the liquidity, and we've been able to manage, I think, quite well just with the additional spend that we had in the first half of the year. The one thing we did do in Puerto Rico in Q3 is we did a handset securitization and we've done several of those now that we're off the AT&T stack, we can continue to manage working capital in a more effective way in that business.
Balan Nair: Thanks, Chris. And on Peru, yes, so we've been at it now for about 3 years. And the total equity that we - or the total cash that we've put into the business is about $100 million. And clearly, our partners have also contributed some. And the build has been fast. We put in a very, very entrepreneurial team there. We are working with some really interesting technologies there that drive our costs a lot lower on a per home passed basis. And we purposefully targeted outside of Lima. And the reason for that being the very low penetration of broadband, less competition for sure, less investments in those areas. And clearly, we've been - I think that strategy is paying off quite well. And we're very excited about that investment and the future prospects in Peru.
Vitor Tomita: Very clear. Thank you both very much.
Operator: Thank you. [Operator Instructions] And the next question goes to Roberto Bassiani [ph] of Citigroup. Roberto, please go ahead.
Unidentified Analyst: Thank you. I just wanted to understand how Liberty is looking at opportunities in offering converged bundles in the current market? And if you could share metrics on how convergence could impact operational and financial performance going forward? And second one would be, if I may, on - if you can share any update on how far along you are in the main markets at upgrading 5G - upgrading to 5G and to 4G and how these upgrades could expand addressable market or impact subs and revenues? Thank you.
Balan Nair: Sure. And I'll ask maybe Inge to help me on the converged part as well to give some more color because we've been a lot more advanced in the Liberty Caribbean area. Even though I must say on the convergence, I'll say two things. One, the reason we made the AT&T acquisition, the Telefónica acquisition in Costa Rica and other acquisitions that we've made even in Curaçao and strengthening it in Panama with the Claro acquisition is to have a converged bundle. And the idea is that we would have a very high-speed 4G, 5G mobile network with a very high-speed fiber-to-the-home or DOCSIS 3.1 network. That is our play, and it is working really well. And in the case of Puerto Rico, as I indicated earlier, we've launched this thing called Liberty LOOP that Eduardo, our General Manager, has championed together with his team, where we are bundling both our high-speed broadband and our mobile, very high-speed 5G mobile network there. And of course, that same thing applies in Costa Rica, in Panama and Liberty Caribbean. I'm going to answer your question on 5G, then I'm going to ask Inge to give you a little bit more color on the success we've been having and how we sell it. And you'll find it very interesting because we've approached it in Liberty Caribbean through our digital channels. So on upgrading 5G, we are upgrading - we've certainly got 5G in Puerto Rico. We've launched it in Costa Rica, Panama and now in Cayman as well. We are very judicious about where we make our 5G investments. It is a function of when the market is ready, meaning do we have enough handsets in the market that can support 5G and also where we stand in that market. Clearly, in Costa Rica and Panama, we are the leaders in mobile, both in volume, in value as well as in technology, and we continue to invest there. In some of the markets where we think that 4G is sufficient, we're going to be very, very careful with our capital spend and make sure that we don't spend too far ahead of where the consumers are ready. Having said that, Inge, can you jump in and talk a little bit about your success in FMC?
Inge Smidts: Yes, Balan. Good morning, everybody. Good morning, Roberto. Yes, so we've been in the last 3, 4 years within the Caribbean, the whole region, we've been really pursuing converged offers, which we adapt in every single market because every single market, of course, is different. We are today more or less averagely reaching a percentage of 25%, so we can still go and we will do that. And we really looked at the consumer segments and then we adapt our offering, like, for example, Jamaica, we really have a converged offer between data and postpaid, and it's really, really - it's called [indiscernible] and it's been executed over the last 3 years, and it's really working for us. Similar, for example, in Cayman, we launched a converged offer, including 5G. It's called Flow Mania [ph] And so country by country, we go converge offerings and we adapt it. Sometimes we do fixed mobile conversion. Sometimes we do mobile fixed conversion. And we really start from the consumer and from the consumer out we go and adapt our go-to-market. And it's been really working for us.
Balan Nair: Thank you, Inge.
Operator: Thank you so much. [Operator Instructions] We have a question from Matthew Robillard [ph] of Barclays. Matthew, please go ahead.
Unidentified Analyst: Yes. Good morning and thank you for the presentation. I had a follow-up question on Puerto Rico. So when I look at the slide deck from the Q2 and the slide deck from Q3 and trying to understand how things have developed, I think at the Q2 time, you had identified sort of migration-related costs of around $28 million in the second quarter, and it led you to an EBITDA of 71. In Q3, the revenues have not really moved, but the EBITDA has grown by about $17 million. So it suggests that if the revenues don't really move, you only have $11 million of costs to take away in order to improve the EBITDA. But then in order to reach the 45 target, which I understand is not any more actual, you really need a big acceleration in the top line. And so I guess my question really is, how confident can we be that you accelerate that top line also because it seems that the market has become a bit more competitive. I realize NPS and customer sentiment has improved, but at least in my experience, it takes years before these things can translate into financials. Thank you.
Balan Nair: Good morning, Matthew. And let me see if I answer it this way. Your math is correct. And the way we are going to approach our recovery in EBITDA comes from a number of different areas. I indicated that we are - in addition to some of the synergies we've got from the transaction, given the reduction in revenue, we are also tackling another round of cost cutting in the island. And the way we approach the cost cutting is certainly on areas that are non-growth related. And so anything in any cost that doesn't touch our growth we are scrutinizing together with my finance team and my operating team, the combination, it's going through every line item. And we've identified some costs that we're going to build - cost cutting that we're going to build into our 2025 budget. Secondly, as you pointed out, clearly, just taking costs out will not get us there. We do have to invest into growth. We anticipate, as you saw in the numbers we shared, we are now selling already at the pre-2022 levels, and which means that our sales is coming in. Now two things we have to manage to. One, the cost of that sale. And in the mobile world, clearly, in the postpaid mobile world, the first year of sales and acquisition has very little EBITDA contribution. So the way we've been approaching this is we want to grow maximally on sales in '25, but they'll show up only in '26. To a certain degree, that's why the $45 million has moved down. Secondly, on the sales front, we are also focusing a lot more on B2B, non-mobile B2B, and we are looking at a number of different opportunities there. Our B2B business is about $200 million that will grow a lot more. And so there are a number of projects that we are working on with a number of partners as well to look at growth in our B2B space. And then our fixed business, which has been steady as she goes, that's a really good business where we have very good share and a very, very good product. And the combination of the fixed and mobile, which we've never been able to do throughout the last 3 years when we had the systems with AT&T, we were never able to converge these products. We are now looking at every of our mobile sub to see if they have broadband and every of our broadband sub to see if they have mobile. And that is what we call Liberty LOOP, which we are now putting in place a number of really exciting commercial initiatives for our customers, but also for our sales teams to incent them to sell this product. So there's a lot of different moving parts here on how we want to get back on the EBITDA that I think my management team and I feel is appropriate for this business.
Unidentified Analyst: That's very helpful. Thank you. If I can follow up, obviously, you will have the Echostar subscriber base at some point in 2025. I mean, if I put that in the context of the difficult integration with AT&T, I mean, are there things that you learned? Or do you feel that in any case, it's a much easier transition than what happened with AT&T? I realize you had to operate on their system. But could you - I mean, could you give a bit of color as to how you're looking into that upcoming integration?
Balan Nair: Okay. I'll give you three specific points why this is going to be a lot more smoother. One, we already have a network now. We didn't have a mobile network when we bought AT&T, and we had to stand it up and get it operational and scale while we were migrating. That's done. So we have the network we can migrate to. Second, we have an IT stack now that we didn't have when we bought the AT&T business. We had an IT stack, but it was a fixed network IT stack. Both the mobile network and the IT stack, if you recall, I mean, we actually have that in our business. When we did this migration or this acquisition as part of the conditions on the acquisition, we were not able to use our existing IT stack and mobile networks that did not sit in Puerto Rico because this is an American business. At that point, we had to change our strategy and build everything from scratch because the AT&T business was within the United States. Or else you would have moved a lot more smoother if we didn't have to build a whole new IT stack and mobile network. And then the third reason is, his is all prepaid. So there's no complexity in lots of billing that we experienced with the postpaid migration from AT&T. So those three things makes it a lot easier. But to be sure as well, we do have some things that we are working on because there are a number of handsets that work on the DISH network. It's actually the T-Mobile network that may not work in our Ericsson network. So in that sense, our technical teams are going to work very closely and the handset compatibility is probably the only thing I am really concerned about in that migration.
Unidentified Analyst: Thanks. Very useful. Thank you.
Operator: Thank you. The next question goes to Matthew Harrigan of The Benchmark Company. Matthew, please go ahead.
Matthew Harrigan: Thank you. There's an assumption in the currency markets that Trump election implies a strong dollar, at least that's certainly what - what sounds very vocally prefers. Can you talk about - you had - I think at one point, you were well above 70% on the U.S. dollar composition or de facto pegged to the dollar. Can you talk about - update us on that? And also any implications in your capital structures for that? And then any operating implications, obviously, Jamaica, I don't think Jamaica is pegged. So presumably, you have a good tourism bump there, and then you have the countervailing effect on the translation. But how are you thinking about your business if we did have a significantly stronger dollar? Thank you.
Balan Nair: Hey, Matthew. We haven't put like lots of analysis behind this. I'll say a few things. Most - as you pointed out, we're already in the 70s, high 70s on U.S. dollars. So our exposure is a lot less. We don't have Chilean pesos and stuff like that, right, where it's very volatile. But having said that, Chris Noyes and our treasury team has hedged - we not only hedge the cost, but we also hedge the currency on it. And most of where we operate, that's sufficient liquidity to do that. There are a couple of exceptions, but it's not needle moving to us. And so on the currency side, the only thing I would say with the new elections is that the President-elect had publicly indicated that he is going to try to look at a weaker U.S. dollar going forward. How he does it, who knows, but that, of course, is - could be helpful. What could not be helpful is high tariffs because we do import a lot of equipment and equipment from Asia, especially for CPE, that's equipment on handsets, it's equipment on network equipment. That I think is wait and see, and we'll learn more. We're not adjusting any of our internal budgets to reflect any of this, but it's one that we are going to be watching closely. Chris, do you want to add anything?
Chris Noyes: Yes. I would say, Matt, when you look at our portfolio of operating assets, it's really Jamaica and Costa Rica are the two that float for us. Most of our other businesses are U.S. dollar or U.S. dollar PEG [ph] linked, et cetera. So we have just a little bit of exposure there. The Costa Rica has been particularly stable and has actually been strengthened over the last 2 years. And similarly, Jamaica has been quite a nice currency over the last 5 years, hasn't depreciated much. So I think we feel really good from the mix of assets that we have, and we do hedge from a forward perspective when we do have mismatches and then where we can, we'll hedge components of the debt payment.
Matthew Harrigan: Thanks, Chris.
Chris Noyes: Yeah. Thanks, Matt.
Operator: Thank you. That will now conclude today's question-and-answer session. I'd like to hand back to Balan Nair for any additional or closing remarks.
Balan Nair: Thank you, operator. And maybe I'll say a couple of things before we close. One, clearly, we were all surprised here in the management team on the performance in Puerto Rico between the last quarter and this quarter. There were a number of reasons for that surprise, some of the post migration, customers that came over was not what we thought it was, and we learned a lot during that period. Rest assured, this management team is focused on recovering those losses. The future, I think, in Puerto Rico is really bright. Some have asked me if I had to do that transaction all over again, would I have done it? I would. Clearly, in the migration, we would - we are a lot smarter about when you buy something from a very large corporation where their billing systems are legacy and the way they run it and it's very different than how we would run the business. There are lots of complexities that we did not anticipate. But I can tell you this, we've learned a lot, and we are going to fix a lot of the problems. We are already seeing the green shoots. We're going to solve this with topline growth and cost cutting. And then we'll get out of the woods. The remaining part of our business, you can see all the hard work that we did is paying off. A lot of complex transactions there as well, buying something from Claro and integrating it in Panama, buying something from Telefónica and integrating it in Costa Rica, the cost cutting that my management team has done in Liberty Caribbean, the opportunities of investments in both Peru. And I can tell you, I'm really excited about our subsea network and our general manager that runs it. This new network that we are building that will create huge opportunities in '27. So we are planting the seeds for future growth. We've already improved a lot of our operations and growing them. We have one operation right now that's challenged, and we're going to fix it and get through it, and we're going to grow that as well. From that sense, I can tell you, we are really excited and bullish about the future. And I thank you for your support.
Operator: Thank you. Ladies and gentlemen, this concludes Liberty Latin America's third quarter 2024 investor call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Latin America's website at www.lla.com. There you can also find a copy of today's presentation materials. Thank you. You may now disconnect your lines.